Operator: Good morning. Today is May 5, 2021. Welcome to the Toromont First Quarter 2021 Results Conference Call. Please be advised that this call is being recorded. Your host for today will be Mr. Michael McMillan. Please go ahead, Mr. McMillan. 
Michael McMillan: Thank you, Donna. Good morning, everyone. Thank you for joining us today to discuss the results of Toromont Industries Limited for the first quarter of 2021. Also on the call with me this morning is Scott Medhurst, President and Chief Executive Officer. As noted in the press release issued yesterday, we will be referring to a package posted on our website. We encourage listeners to download it and follow along. At this time, and as noted on slide 2 of our presentation, I would like to advise listeners that this presentation may contain forward-looking statements and information that are subject to certain risks, uncertainties and assumptions that may lead to actual results or events differing materially from those expected. For a complete discussion of these factors, refer to our press release from yesterday, which is available on our website. As is our practice, we will focus on key highlights for the quarter. Scott will begin with a few general remarks, followed by comments on our overall results, after which I will provide some highlights on our divisional results and financial position. After our prepared remarks, we will be more than happy to answer questions. Over to you Scott.
Scott Medhurst: Thank you, Mike, and good morning, everyone. Before I begin, I would ask that you move to slide 3 of the package. Toromont's first quarter results reflect an unwavering commitment to meet our customer needs as we continue to navigate through a complex operating environment. The equipment group reported strong product deliveries, reflecting improved activity levels in the quarter. CIMCO revenues increase with good progress on its order backlog. Product support activity, particularly in the recreational markets continues to reflect the impact of COVID restrictions. Operational efficiencies with continued focus on expense disciplines resulted in solid bottom line growth. Turning out to our financial results highlighted on slide 4. The company recorded good results in the first quarter of 2021. While we have seen higher industry activity levels, we still operate with caution, given the rapidly changing situation driven by COVID-19 variants. Backlogs were $912 million a quarter end, up 61% versus Q1 2020. In the equipment group, mining and construction represent approximately 39% and 35% of our backlog respectively. CIMCO backlogs were 18% lower, reflecting execution on the large industrial orders received in Canada in Q1 of 2020. On a consolidated basis, revenues increased 13% reflecting increased activity in many areas, and solid execution from our team. Product support revenues increased 2% while rental revenues were 11% lower compared to similar quarter last year. Operating income was 27% higher on the higher revenues, coupled with relatively unchanged expense levels. Net earnings increased 28% in the quarter versus a year ago while earnings per share increased $0.13 to $0.58 per share. We continue to provide essential services and solutions to our clients while remaining diligently focused on safeguarding our employees and protecting our business for the future. We appreciate our entire team's incredible effort and ongoing commitment to adapt to changes in the business environment. Although, we experienced improvement in market activity in the first quarter of 2021, a tone of caution still exists given the changing status of the pandemic and response. Our order backlog was healthy heading into 2021 and new order bookings in 2021 are supportive. The diversity of our geographic landscape and market served extensive product support offerings and financial strength, together with our disciplined operating culture continued to position us to build for the future. Mike, I'll turn it over to you for some detailed comments on the group results.
Michael McMillan: Thanks, Scott. Let's put a bit more color on the operating results starting with the equipment group on slide 5. Revenues were up 11% in the quarter on improved equipment sales and product support growth while rental revenue was weaker. Total new and used equipment sales were up 28% overall, or 34% and 12% respectively. Sales increased across all markets and regions, construction markets up 32%; power systems up 20%, material handling up 10%; agricultural up 76% and mining up 3%. Rental revenues were down 11% year-over-year, light equipment rentals were down 7% with lower activity in most regions, where heavy equipment rentals were up 8% across all regions Relative to last year, Quebec activity also improved. Power rentals were lower 13%; material handling rentals were down 5%. RPO revenues were down 48% on a smaller average fleet over the period, the RPO fleet was $38.6 versus $62.1 million a year ago. Product support revenues grew 2% on higher parts, up 4% and lower service revenues lower by 3%. Activity within construction markets was up 6% with increases in most regions in both material handling and agricultural products support activities were higher. Mining activity was lower with product support down 2% while Power Systems decreased 7% reflecting timing of larger rebuild projects. Gross profit margins decreased 10 basis points in the quarter, equipment margins and product support margins were largely unchanged. Rental margins were 60 bps higher reflecting benefits from fleet adjustments including selective dispositions and acquisitions as well as a stronger utilization over last year. Selling and administrative expenses in the quarter increased $1.5 million or 1%. The increase is mainly attributable to mark-to-market adjustments on deferred share units, due to this higher share price. This was largely offset by continued cost containment disciplines in discretionary expenditures such as travel, allowance for doubtful accounts increased $1.1 million on aging of accounts receivable. Operating income was up 27% reflective of higher revenues. Bookings increased 103% in the quarter across all sectors. Mining bookings were $242 million in the quarter, reflecting several large orders. Backlogs of $736 million were 108% higher than this time last year across all sectors, approximately 80% of which are currently expected to be delivered this year, but subject to timing differences depending on vendor supply, customer activity and delivery schedules. Let's turn now to CIMCO on slide 6. Revenues were up 37% in the quarter, mainly due to strong package revenues on continued progress against industrial orders booked in 2020, slightly offset by weaker product support. Package revenues were up 105% with increases in both recreational industrial markets. In Canada, package revenues were up 98% reflecting industrial revenues where in the US package revenues increased 159% on a smaller base, with higher revenues in both industrial and recreational markets. Products support revenues decreased 7% versus the first quarter last year on lower activity levels in both Canada and the US. Activity levels in 2021 are lower reflecting continued site restrictions in most areas and reduced demand particularly in recreational centers, which have been closed or severely restricted by the pandemic. The increased technician base and essential services designation continues to support our backlog and position to the business wealth for the eventual improvement of activity levels. Gross profit margins decreased 560 basis points in the quarter versus last year. The decrease in gross profit margin was due to lower package and product support margins, combined with a less favorable sales mix of products report revenues to total revenues. Margin mainly reflects activity levels, nature of projects in process and construction schedules, which can be somewhat variable. Selling and administrative expenses were largely unchanged from the similar period last year, and expenditure control measures on discretionary spend remain in effect. A lower allowance for doubtful accounts on good collections focus on resolving outstanding items, lower travel costs largely offset increased compensation expenses. Operating income improved to $400,000, largely reflecting higher package revenues partially offset by lower gross margins. Bookings were $38 million in the quarter down 66% versus last year, which included an exceptionally strong level of bookings due to several large industrial orders in Canada. Recreational bookings were 28% lower on reduced market activity. Bookings in Canada were down 69% while overall booking to the US were lower by 20%. Backlog of $176 million or 18% lower than the end of March last year, mainly related to the progress against industrial orders. We expect approximately 90% of this backlog to be realized as revenue in the year. However, again, this is subject to construction schedules, and potential changes stemming from the COVID-19 pandemic.  On slide 7, I'd like to touch on a few key financial highlights. Non cash working capital was substantially unchanged versus a year ago. Management of our working capital continues to be a focus as we position the company for the future. Accounts receivable aging receives continuous focus and is trending well with a DSO down eight days compared to Q1 of 2020. Inventory levels continue to be adjusted in light of market activity, and are below prior year levels. Accounts payable reflect the timing of purchases and the wind down of certain extended terms with suppliers. We ended the first quarter with a strong financial position with cash on hand of $614 million, and our balance sheet prepared to support changes in demand. And finally, as announced, the Board of Directors yesterday approved a 12.9% increase in the regular quarterly dividend, taking it to $0.35 per share. This marks our 32nd consecutive year of dividend increases. On slide 8, we conclude with some key takeaways. As we look forward to Q2, as one would expect, we continue to focus on our three key priorities, protecting our employees, serving our customers, and protecting the business for the future. We expect the business environment to remain fluid in 2021. And the tone of caution to persist given the changing status of the pandemic, new variants and the vaccine rollout schedules. We continue to proactively monitor developments closely and refine our business practices appropriately. We are well positioned to effectively respond to both customer requirements, market opportunities, leveraging our disciplined operating culture, our operating model and strong financial position. That concludes our prepared remarks. At this time, we'll be pleased to take questions. Donna back to you to set up the first call, please.  Donna, over to you please.
Operator: [Operator Instructions] And the first question is from Jacob Bout from CIBC.
JacobBout: Hi, good morning. Solid uptick in equipment backlog. Maybe you just talk about the uniformity across groups of equipment the smaller or larger horsepower outperform. And are you seeing sustained -- the sustained level of booking so far in the second quarter?
ScottMedhurst: So what we saw on the quarter was tremendous activity for Q. And it was an all areas I mean, we were pleased with construction, construction bookings I think were up over 30%. So it was very fluid, the industry activities in that quarter were very strong. I mean, if you break it down the larger iron, we saw much better activity than we did on a comparative on quarter-over-quarter. That was up almost 60% and significant industry activities in the smaller units to compact construction products. So very active quarter we're monitoring buying behaviors, because it was very strong. And that led to some, we were pleased with the performance relative to the bookings. And that was through all areas of the business.
JacobBout: And do you see that -- are you seeing that sustained level through the second quarter?
ScottMedhurst: What we're doing we're monitoring things very closely, obviously, because I think hat was a strong, like Q1, it's usually you see a build. And that was a very active quarter, very strong industry numbers. We were pleased with our performance. And we were able to react I think it shows some strong disciplines from the team in the second half of last year and how we were working through our pipeline forecast processes. So we'll see how things develop but it was a very active environment. 
JacobBout: Because the other thing to layer in here is just CAT talking about that semiconductor shortage, possibly impacting deliveries later this year. Do you think there was a kind of a pull effect into the quarter?
ScottMedhurst: I don't, like our customers like they read into their own situations, I think a lot. But there were a lot of variables in there, I guess when you look at it, but it was strong. We were pleased that we could react to it. And again, getting back to those, the teams disciplines on the ordering processes, like these are outcomes from how you're reading things in the second half of last year, right. So we're, I think, we're in a -- we're monitoring things closely, and we'll see how things continue to build. But that was a very active and environmental Q1.
Operator: The next question is from Michael Doumet from Scotiabank.
MichaelDoumet: Hey, good morning, guys. In typical mining recoveries, we usually see products import recover well in advance of new equipment purchases, but that doesn't appear to be the case this time around. I mean, what dynamic do you think is driving that? And can you comment maybe on the strong bookings, whether they reflect demand for refleeting or mine expansion?
ScottMedhurst: So in terms of the proxy support side, I think it represents the fluid environment, we continue to operate in relatively COVID. It's persistent, right? I mean, everybody's aware of what's going on with these variants. It's so again, we're operating in a very cautious, complex environment. Demand signals are fluctuating on the service side. And you got to remember when you're doing the comparisons last year, first quarter, January, February; those were normal operating environments, right. So, there's a cautious environment out there, it's very complex due to the COVID situation. In terms of the mining orders, we were very delighted and honored that we were awarded some packages; there were some multiple deals in there. And some of it was expansion, and some of it was some newer projects. So again, it's just I think we're in -- we're monitoring, we were pleased and the team, I'm really delighted with the team's performance. And that was all work that was done last year, right to get some outcomes in the first quarter. So we continue to monitor things very closely on the product support side. We're not operating in a normal environment.
MichaelDoumet: That's right, no doubt, neither of us, I guess Mike on the costs. In the last year, you talk to us about phasing costs back into the business as the backdrop improved, at this point, have most of the costs may be outside of the obvious ones, like travel been added back? I'm just asking to get a better sense if we're at a stage where we can begin to make assumptions about permanent cost reductions to the cycle.
MichaelMcMillan: Yes, it's a great question, Michael; I think a couple things to consider. First of all, when you look back at Q1 of last year, we started to see the pandemic take hold here, call it in March, right. And so we did see normal run rate of spending, I suppose you'd say, in the first couple of months, and then it started to taper pretty quickly. I wouldn't say that what you're seeing in our financials right now reflects normal activity. We are bringing people in and out of, say remote mine sites, but it's very controlled and very different. The construction sides, the other parts of the business, I mean, travel are significantly restricted. And so I would not model off of what you're seeing in Q1 yet. We're far from seeing normal activity levels and then balancing to what we think that new level of discretionary spend will be.
Operator: The next question is from Sabahat Khan from RBC Capital Markets. 
SabahatKhan: Hi, great, thanks and good morning. Just maybe want to get a little bit more color on the rental side from you. Just the difference between light and equipment, light and heavy during the quarter as well as your thoughts on taking down the inventory a little bit. Is that just a bit of caution, if you can just provide some color and what you saw in the quarter and the thoughts looking ahead?
ScottMedhurst: Well, on the rental side, again, tough comp because January, February last year were normal environments, right. And we started to feel the COVID pandemic impact in the latter part of March. We've seen progress on the rental demand signals as the quarter progressed. We were down on the rental, the light equipment, call it; we saw some slight improvement in utilization. But when we were very pleased with our Quebec rental business that we're starting to see some improvement in there, and some of those operating disciplines are starting to come through. So that was good to see. So what I think a lot of when you look at the rental revenue down was 11%. Part of that is due to the shift in the RPO, that rental purchase options business that rent to rent business was down on rental income. And the inventory levels I think were down over 60% there. So usually you see a build in the first quarter on RPO business and we -- that shift that -- so there are a lot of different behaviors going on in here, demand signals. So that's the monitoring things closely. 
MichaelMcMillan: One part to that too I think Saba is when you think of the mix of the say, the Battlefield business, exterior work and things, again, continuous, as we saw through COVID, to be reasonably strong, the interior things, especially when you have locked down to set restrictions, that does restrict some of that activity. So when you think of the composition of the rental income, it's still realizing the effects of COVID, right. And so that'll persist for a period of time yet until we clear this, right.
SabahatKhan: No, that makes sense. And then I guess, just on the margin side, you indicated that there was some improvement there. Is that really just associated with the dispositions? Or is it just that business? Just that it's made some progress post some of the investments or some additional color there, please?
MichaelMcMillan: Yes, I think two or three factors there. One was I think, utilization we touched on. So we're seeing better utilization of the existing fleet. And last year, we did pull back a bit and optimize that fleet. So it's a, I would say, we're seeing some good dispositions, we're far from seeing the full cycle, if you will, on our Quebec business, we're still a few years away from that. But we are in the rest of the business; we're seeing some benefits of some of the dispositions better utilization across the base. And so that sort of gives you a flavor of where you're starting to see it, and then Quebec, as Scott mentioned, showing better activity levels, right. And we need to go there. 
ScottMedhurst: There was some strength in there, the heavy rental disposition, which certainly contributes.
SabahatKhan: Okay, great. And then if I could just squeeze one last one, and just maybe a broader question on that entire rental space. Now, you've got a couple of these large global guys operating in Canada; they've been laying out some growth strategies recently. Can you maybe talk about just a competitive intensity in that business and how you're planning on, they're really just continuing to invest in Battlefield, and how you're planning on sort of maintaining your position in the rental space here in eastern Canada? 
ScottMedhurst: Yes, well, I mean, the great thing is we operate, obviously, in the rental services business, as you were referencing, but also in the heavy rents and the power rentals as well. And now we're in material handling rentals. So there's a lot more components in there. Strategically, we're very focused on that. We continue to look at and examine our footprints and things. And we like the business. We're going through continuing our integration plans in Quebec Maritimes. So it's competitive, yes. But it's always been competitive. And so we're committed to it strategically, and we'll continue to work forward with our operating disciplines on that front.
Operator: The next question is from Yuri Lynk from Canaccord Genuity.
YuriLynk: Hi. Good morning, guys. I think I'm going to ask another question about why the cycle is different than the others but it's interesting. What's rental would normally -- you would normally see this pickup. First as I think investors sorry, clients are rather cautious. So they'd rather rent than own but we're seeing the opposite here. Just what are your -- any feedback you can share with us with the mood of your customers, because you're saying they're cautious, but they're rushing out to buy equipment rather than rent just based on what the numbers are telling us?
ScottMedhurst: I say we're cautious. It is I think there's some uniqueness to this. And that's why when we look at those industry numbers, they're just very strong. So you're really we're monitoring the buying behaviors. And we'll see how it plays out. I mean, I wouldn't want to start speculate in this type of an environment. I think there's been some of what we saw on the quarter was some release of some infrastructure work which is positive. And I'm sure our customers were reacting to some of that. So, I mean, we'll see. I mean there's some good mix in there in that backlog with construction, mining and I mean even in our Ag and material handling business was good. In the small contractor business, so, I mean, we'll see how it plays out but very active quarter.
YuriLynk: Yes, no, understood. Last one for me just capital allocation, essentially no debt here, because we're generating lots of cash. I understand the dividends a priority, but anything beyond that? Where would you like to run this business long-term in terms of leverage levels?
MichaelMcMillan: Yes. Good question. A couple quick things there, we did see some decent sales in the quarter. And so we had anticipated, we started the year about call it $200 plus million below sort of normalized inventory levels. As an example, we anticipate a level of investment to support demand changes in the business throughout the course of the year. And so we're still down a couple 100 million from where we would see last year, I would expect from a capital perspective, top priority is always supporting the business activity that's through the investment there to support demand. But also on rental fleet and things like that, as we start to look at it, we will have capital available to support investment in the rental business, as demand dictates and so as we, I don't think anything's changed too much, there's a bit of a shift, perhaps with Q1. But it's also I think the pandemic is overriding some of those themes, right, we saw delays, we tapered capital investment, we start to see that come back in this year, we're trying to monitor that, as Scott said very carefully, based on our customer requirements. And so that'll be job one for us. Our leverage is at one of our historical levels, we're happy to be in that position. But we are also planning on this type of investment of a couple 100 million through the course of the year. And then we'll see how things transpire going into next year.
Operator: The next question is from Cherilyn Radbourne from TD Securities.
CherilynRadbourne: Thanks very much and good morning. First question, I guess is more around expenses. My sense in looking through the numbers last night is that you were probably managing things pretty tightly in a volatile environment, which may have created some unusual operating leverage, just given the prime product deliveries that you saw on the quarter, just curious how you're thinking about resources and expenses going forward to make sure you have enough flexibility to capture opportunities. But don't get too far ahead of yourself based on an unusual Q1.
ScottMedhurst: Yes, so we're certainly in this environment continue to be very focused on discretionary and well, also, being very in tune with long term, right. And I think there's a balance in there, Cherilyn, we've been talking about; we'll continue to do that. Certainly, when it comes to our hiring technicians, and things of that nature, we are very -- we trying to be very aggressive in there, I think we can do more in there to prepare for the long term. So we're certainly keeping an eye on long term while monitoring those discretionary areas that won't impact our ability to support our customers. That's the key, right? We're thinking through this over the long term.
CherilynRadbourne: Okay, and then, in terms of the supply chain , obviously, you're in constant dialogue with customers, trying to get a read on what they may need, through the balance of the year. How do you position yourself in the context of an environment where eventually we may be looking at extended lead times? There's the potential of a semiconductor issue? How do you make sure that you're positioned to satisfy customer requirements?
ScottMedhurst: That's great questions. This is where -- this started last year. And again, I think , we're very pleased with how the team is sticking to the disciplines of pipeline forecasting in all the businesses with all our suppliers, not just Caterpillar, it's up to us to give those our supply partners, the demand signals that started last year. And that's why we were very pleased with the performance in the first quarter that we're able to react because of those disciplines and that pipeline forecasting that took place last year and will continue to take place. It's a situation that we're monitoring closely. And I think that's --you take care of the things you can control. And that's what we're doing right now, with some disciplines on our monitoring demand signals into our ordering processes. That's why we are being very active, not just on new; we're trying to be very active and used areas as well.
CherilynRadbourne: Which kind of into the last thing that I wanted to ask, your used equipment sales can grow off of a pretty strong prior year comp? So I just wanted to understand if that was primarily disposals from the rental fleet, or whether your sourcing team made a contribution in the quarter.
ScottMedhurst: Yes, combination of and we, again, we've been, I'd say, last year second half strategically we shifted to be tried to be opportunistic, and early on purchases will continue. We're continuing in that space. And that's part of our strategy. We like to use equipment business. We're very focused on rebuilds and supplying customers with different types of value propositions.
Operator: The next question is from Maxim Sytchev.
MaximSytchev: Hi, good morning, gentlemen. I was wondering if you don't mind maybe commenting around the interplay around of high steel price and obviously stronger Canadian dollar in terms of sort of the this countervailing dynamic impacting , pricing, and how you guys positioning vis-à-vis some of your competitors if possible.
ScottMedhurst: We've been through this before, Max, I mean, this is not something that I will call, that's just the business, compared to what the other dynamics we're dealing with here with pandemics and complexities around that and logistics. So we've worked through the dynamics of shifting dollars, and commodity prices, and how it impacts pricing, things of that nature. We just, you just make sure we're ahead of it, and work through it as appropriate. And it all comes down again to the value propositions that we're offering customers. So that's how we started to think through it, we would certainly stay close to those dynamics to referencing and try and stay ahead of it.
MichaelMcMillan: And just on that, maybe just to add to that to Max. I think there's a couple of dynamics there; we mentioned lower inventory levels and things as a result of the pandemic. You mentioned the Canadian dollar, I mean, we hedge we like certainty around those variables. And so we actively manage those pieces, I think , as we go forward, it's the operating discipline, I guess I'm emphasizing here is just that we like Scott says, we like to work closely with the customer, we like to take some of those variables off the table. And we do a deal by deal and very actively to lock in rates and make sure that we don't have unforeseen variances.
MaximSytchev: No, that makes a lot of sense. And just I wanted to circle back to the chip shortages. So right now, given sort of the demand signals that you're seeing from your customers, you feel that you're going to be able to fulfill sort of the timelines that you're telegraphing in terms of being able to look to deliver the equipment from CAT. Is that what you're seeing on the ground right now?
ScottMedhurst: Look, it's complex and I think we're working closely with all our suppliers on that front, we saw part of the reason the inventory on a comparative last year Q1 came down is it was very active, like, usually we'll see a build in our inventory in Q1. But the great part is we were able to meet those demand signals and be ready. So, I mean, we saw some slippage in the first quarter, but now we're working closely with our suppliers. And we'll try and do our best to give them the proper demand signals and we'll see how things play.
MaximSytchev: Okay, fair enough. And then just a couple of other quick ones in terms of mining do mind the potential disclosing? Was it, I don't know was it ore or gold or combination of the two that was driving the backup additions.
ScottMedhurst: We had a good mix in there. Certainly both those areas you spoke of, we were very fortunate to secure some orders. And so it there's a mix, and there's some large multiple orders in there that were we were delighted with and delighted that our customers had confidence in our products and services.
MaximSytchev: Okay, wonderful. And then one last question for Mike, maybe do you mind perhaps updating us in terms of how we should be thinking about the rental CapEx this year, if it's possible?
MichaelMcMillan: Yes, I think very consistent with what we were talking about last quarter Max. I think we certainly tapered our CapEx investment and fine tuned our fleet as a result of pandemic last year. And so although we don't provide guidance. I mean we do things I would say, one is we likely be somewhere between 2019 and 2020 levels, but also we have the capacity there of demand warrants to invest and respond to that demand and would be very conscious of that and trying to manage at the right fleet in the right places, right so
Operator: And the next question is from Bryan Fast from Raymond James.
BryanFast: Thanks. Good morning. I'm just looking for further color on the material handling segments. We've seen strength in bookings, equipment sales are up year-over-year, how's that vertical been performing, I guess relative to your expectations.
ScottMedhurst: Still very much work in progress. But last year a lot of work was done on the integration, we still have some more work to do with our system platforms. So that integration plan is very much alive as is the entire integration plan. But specific to that area, we worked hard last year on really narrowing in on the rental fleet and the product diversity in there; we've narrowed down a bit. And on the retail side, I think we really worked hard on our coverage, there's still more work to do on the coverage and particularly in Ontario, Ontario is a very large market opportunity. And we've got to go prove that out. So I would say Bryan, we're making progress, but still a lot of work to do there with coverage. Our rental processes still aren't where we want it to be. And as well as the retail side on the coverage. And then we're very actively involved with our operational excellence, I'll call it on the product support site and our processes. And customer support with consistency across Quebec, and Ontario, Manitoba. So we still have a lot of work in there. But we were satisfied with the progress that we saw in Q1.
BryanFast: Okay, thanks. And then just switching gears just wanted to get your thoughts on telematics and the connectivity of the fleet. Can you just talk about how that is progressing and the opportunities that you're seeing there?
ScottMedhurst: Yes, so we're making good progress in there. We continue to move forward on connecting the assets, pretty good pace. What I'm delighted about is how we're now picking up data signals, working closely with Caterpillar on prioritization and how we execute on the data signals being more proactive with customer solutions. And we just had an update in the first quarter on how our win ratios are. And I think we're starting to see providing more proactive solutions to our customers, which is good. We have a ways to go. And we just have better connectivity now better data flow starting in. We're pleased with how we're progressing there. But still, so we're on a journey there. And but I think some of the fundamentals we're doing working closely with Caterpillar working out fairly well.
Operator: There are no further questions at this time. I'd like to turn the meeting back over to Mr. McMillan.
Michael McMillan: Great. Thank you, Donna. Before concluding the call, I'd like to remind listeners that our annual and special meeting of shareholders will be held today at 10 AM. This is a virtual meeting only. Our website details are available@toromont.com and in our press release as well. Thanks again for joining us this morning. I wish you all a very safe day. And that concludes our call. Take care.
Operator: Thank you, Mr. Macmillan. The conference has now ended. Please disconnect your lines at this time. And thank you for your participation.